Adam Kressel: Good day, and welcome to the AdvanSix Inc. Q4 2025 Earnings Conference Call. All participants will be in listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Adam Kressel, Vice President of Investor Relations and Treasurer. Please go ahead, Adam. Thank you, Bailey. Good morning, and welcome to AdvanSix Inc.'s Fourth Quarter 2025 Earnings Conference Call. With me here today are President and CEO, Erin N. Kane and Interim CFO, Christopher Gramm. This call and webcast, including any non-GAAP reconciliations, are available on our website at investors.advansix.com. Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our business as we see it today. Those elements can change, and the actual results could differ materially from those projected, and we ask that you consider them in that light. We refer you to the forward-looking statements included in our press release and earnings presentation. In addition, we identify the principal risks and uncertainties that affect our performance in our SEC filings, including our Annual Report on Form 10-K as further updated in subsequent filings with the SEC. This morning, we will review our financial results for the fourth quarter and full year 2025 and share our outlook for our key product lines and end markets. Finally, we will leave time for your questions at the end. I will now turn the call over to AdvanSix Inc.'s President and CEO, Erin N. Kane.
Erin N. Kane: Thanks, Adam, and good morning, everyone. We appreciate you joining us here today for our quarterly call. As you saw in our press release, the AdvanSix Inc. team executed well to close out 2025. A great thanks to our organization for remaining focused on safely optimizing operational and commercial performance. We delivered full year adjusted EBITDA of $157,000,000 and generated $6,000,000 of free cash flow, in a year characterized by continued cyclical trough market conditions for Nylon Solutions, robust plant nutrient supply and demand fundamentals amid an increasing input cost environment, and mixed chemical intermediates industry conditions with lower acetone net pricing as anticipated. While the macro environment has been challenging, there were a number of highlights over the past year to recognize. We successfully executed our planned turnarounds at the low end of target spend range. We delivered record annual production across both of our key ammonia and sulfuric acid unit operations. We invested $116,000,000 in CapEx funding key growth and enterprise initiatives, including our Sustained Growth Program. We progressed tax strategies, claiming additional 45Q carbon tax credits, received the final $26,000,000 settlement proceeds in the first quarter 2025 related to the 2019 PES supplier shutdown claim, and we preserved our competitive dividend while maintaining conservative debt leverage levels and ample liquidity. At the end of the year, we also welcomed Jeffrey Bird to our Board of Directors. Jeff's breadth of experience and deep financial and operational leadership in complex industries will further strengthen our Board's strategic oversight. As we look ahead to 2026, the end market environment remains mixed overall. We anticipate continued strength in plant nutrient supply-demand fundamentals and expect acetone margins to remain near cycle averages while nylon remains plateaued in its trough. Now there have been several recent industry announcements pointing to capacity rationalization in the nylon chain and lower operating rates in China, which we believe should lead to more favorable supply and demand conditions over time. Raw material input costs are expected to be a headwind, particularly in the first half of the year, on meaningfully higher sulfur and natural gas prices. As many well know, we recently navigated a significant winter storm across the country and Mid-Atlantic. We are proud that we were successful in safely and continuously running our operations through these extreme temperature, ice and snow conditions. Everyone at our operating sites came together to deliver this result. We did have to contend with natural gas restrictions, additional maintenance costs, and we elected to moderate operating rates, which was a necessary impact to maintain safe operations. In total, we anticipate roughly an $8,000,000 to $10,000,000 unfavorable earnings impact in the first quarter, which we do intend to fully offset as we progress through the year. In this environment, we remain focused on controllable levers to support through-cycle profitability and cash conversion. This includes optimizing production output and sales volume mix, driving fixed cost reductions and productivity, maintaining a disciplined approach to cash management, and taking a risk-based approach to capital investment and plant turnaround scoping. Our strategic initiatives, unique combination of assets, and business model are core to our durable competitive advantage and long-term positioning. With that, I will now turn it to Christopher Gramm to discuss the financials.
Christopher Gramm: Thanks, Erin. I am now on Slide 4 to discuss our results for the quarter. Sales of $360,000,000 in the quarter increased by approximately 9% versus the prior year. Sales volume increased approximately 11%, driven primarily by the prior year impact of the Q4 2024 extended planned turnaround. Market-based pricing was favorable by approximately 2%, driven by the continued strength in plant nutrients, reflecting favorable North American ammonium sulfate supply and demand conditions, partially offset by lower acetone prices as anticipated. Raw material pass-through pricing was down 4% following a cost decrease in benzene, which is a major input to cumene, our largest raw material and key feedstock to our products. Adjusted EBITDA was $25,000,000, up $15,000,000 from last year, while adjusted EBITDA margin was 6.9%. The improvement in earnings versus last year was primarily driven by the favorable year-over-year sales volume and lower cost impact of plant turnarounds, partially offset by a decline in chemical intermediates pricing net of raw material costs. On a sequential basis compared to the third quarter, earnings were roughly flat as higher plant nutrient pricing was offset by increased sulfur and natural gas input costs, as well as the impact of the previously disclosed unplanned Chesterfield electrical outage and planned Hopewell turnaround. Now let us turn to Slide 5. On this slide, we are detailing our quarterly sales contributions by product line, as well as price and volume indicators, both year-over-year and sequentially. This provides better insight into our commercial sales performance. In Nylon Solutions, volumes declined sequentially as we moderated caprolactam and resin production rates to manage inventory in a softer demand environment. Domestic market-based pricing held relatively steady, while raw material pass-through pricing saw declines on lower benzene input prices. Plant nutrients continue to perform exceptionally well, with strength in volume, pricing, and mix. Granular ammonium sulfate volumes increased year-over-year, supported by the resiliency of sulfur nutrition demand and continued progress of our Sustained Growth Program. And lastly, chemical intermediates pricing was stable sequentially, but lower year-over-year consistent with expectations as acetone pricing moderated from the multi-year highs experienced in 2024. I am now on Slide 6, where we have summarized our full year 2025 financial results. Sales were roughly flat year-over-year, while we delivered full year adjusted EBITDA of $157,000,000 and 90 basis points of margin expansion to 10.3%. Strong plant nutrients pricing and volume performance, in part supported by our Sustained Growth Program, helped to overcome higher natural gas and sulfur feedstock cost, continued trough market conditions for Nylon Solutions, and lower acetone pricing over raws. I would also highlight that the strong fourth quarter performance supported positive free cash flow generation for the full year 2025. On the bottom right portion of the slide, we have included a snapshot of our plant utilization across our three major facilities. At Hopewell, operating rates were roughly flat in 2025 on a year-over-year basis. As Erin mentioned earlier, we delivered record annual production across both of our key ammonia and sulfuric acid unit operations at our Hopewell site, while continuing to optimize granular ammonium sulfate production. At our Frankford phenol and acetone plant, utilization rate was up on improved performance year-over-year. At Chesterfield, operating rates were down high single digits. This reflects the strategic choice to moderate production and manage inventory levels, as well as the site-wide electrical outage and fire.
Erin N. Kane: Thanks, Chris. I am now on Slide 7 to discuss our end market exposure and what we are seeing across our major product lines. Our diversified end market exposure continues to be a strategic advantage, providing resiliency across cycles. Agriculture and fertilizer remains our largest end market. Overall, we continue to see favorable ammonium sulfate supply and demand fundamentals, with sulfur nutrition demand growing approximately 3% to 4%. There is caution around crop prices and sensitivity to declining farmer profitability, in addition to higher sulfur input costs which are impacting fertilizer margins. Sulfur prices settled at nearly $500 per long ton in 2026. That compares to $165 per ton in 2025 and $310 per ton last quarter, so a meaningful increase that the industry is experiencing. There continues to be robust acceptance of the sulfur value proposition, with growers seeking to maximize crop yields. In the first seven months of this fertilizer year, granular sales volume is up 10%. We continue to build upon last year's success and are on pace for another record year of sales growth. As the value chain has been preparing for the upcoming planting in spring, we are seeing inventory fill up in the channel, particularly with the impact of weather-related delays. We are now seeing our first half order book shift more into the second quarter when fertilizer typically moves very quickly through the chain to the fields. While there is risk to our first quarter planned volume, we also view this as an opportunity to place more tons in the second quarter when we traditionally see the highest in-season pricing. To put this into historical context, at this point in the year, we are typically sold out several months in advance, meaning that pricing for the first quarter shipments is based on the back half of the prior year, and the second quarter shipments largely reflect first quarter pricing. This year, given the considerations around anticipated acceleration of input costs, expectations for corn acres planted, and tight domestic fertilizer supply, we engaged in a more limited pre-buy program and have taken a more cautious and patient approach to the order book. By not selling forward, our average price in the order book is above last year's pricing and much closer to current published pricing without the historical lag. Moving to building and construction, dynamics here remain largely unchanged. We have direct and indirect exposure across nylon and chemical intermediates through flooring, oriented strand board, and paints and coatings, to name a few. Our view is that latent demand will build and begin to recover through 2026, assuming moderating interest rates going forward. Third-party estimates indicate approximately 3% commercial construction growth anticipated in 2026. For nylon fiber and filament, in particular, we see a stronger presence in commercial applications such as office, hospitality, and leisure. Broadly across Nylon Solutions, the industry remains in an extended trough. Pricing has stabilized domestically with margins supported by lower benzene input costs. However, demand remains muted across construction, automotive, food packaging, and broader industrial applications. As I mentioned earlier, encouragingly, we are seeing increased evidence of capacity rationalization in Europe and lower operating rates in China, which again should support more balanced supply and demand conditions over time. In chemical intermediates, phenol demand remains weak, driving lower global operating rates and supporting more balanced acetone supply and demand dynamics. While acetone margins have moderated, they remain near cycle averages. Downstream MMA demand is improving following planned and unplanned downtime in 2025. In addition, we note that the refinery grade propylene pricing marker is being discontinued in 2026, and the industry is moving to buying cumene on a polymer grade propylene-minus pricing construct. Lastly, as of January, the Commerce Department and International Trade Commission made final determinations to renew the antidumping duties for acetone into the U.S. for another five years. Let us move to Slide 8. As we look ahead to the remainder of 2026, our strategic priorities remain clear. We are focused on bolstering sustainable cash flow generation through risk-based prioritization of capital investments, cost productivity, tax optimization, and commercial and operational execution. Our balance sheet is positioned to provide optionality and the ability to weather the challenging macro environment, with leverage exiting 2025 at approximately 1.2 times net debt to adjusted EBITDA. Now starting with CapEx, we are expecting to spend in the range of $75,000,000 to $95,000,000 in 2026, compared to $116,000,000 in 2025. This reduction reflects a rigorous evaluation and risk-based assessment of base investments and enterprise programs, with continued progression of growth projects, including our Sustained Growth Program. We anticipate a similar range of investment in 2027 as well. We prioritize capital based on compliance, risk and reliability assessments, and efficiency improvements. We have also taken a refined risk-based approach to our planned turnaround schedule in 2026. While it is an ammonia turnaround year at Hopewell, we reduced the scope of these activities, focusing on critical maintenance and compliance areas. In total, we now anticipate the pretax income impact of plant turnarounds to be in the range of $20,000,000 to $25,000,000. The majority of the spend will be in the second quarter this year as we necessarily aligned our work with planned natural gas pipeline maintenance already scheduled by our vendor partners. As we previewed on our last earnings call, we are embarking on a non-manpower fixed cost takeout initiative which is expected to support margin resilience. Supported by our recent ERP upgrades and enhanced management tools and data analytics, this multiyear productivity program targets approximately $30,000,000 of annual run-rate cost savings. From an execution perspective, we remain focused on optimizing production output, inventories, and sales volume mix while remaining nimble to capture market opportunity in the areas that are most profitable. We are also actively managing our cash tax rate, which we anticipate being below 10% this year. Lastly, all of these contributing items support expected meaningful improvement in free cash flow for the year. As a reminder, our linearity, consistent with past years, will represent a first-half use of cash, primarily due to the unwinding of cash advances, the run-rate of cash payments on CapEx, and timing of annual payments. Conversely, we anticipate the second half to be a source of cash to achieve our full-year expectations. Let us turn to Slide 9 before moving to Q&A. We believe that AdvanSix Inc. offers a compelling investment thesis, with several value drivers supporting through-cycle profitability and sustainable performance. Our leading U.S.-based position, advantaged value chain, and business model provide inherent competitive advantages. We are aligned to a diverse set of end market applications, including roughly 40% of our revenue tied to underlying strong agricultural fundamentals. Our ammonia-sulfuric acid platform integration coupled with leading granular crystallization technology underpins our ammonium sulfate growth and how we win in plant nutrients. These capabilities, combined with our asset utilization agility and product mix, position us to navigate cycles and capitalize on emerging opportunities. With disciplined capital allocation, a healthy balance sheet, and a keen focus on productivity and free cash flow generation, we believe we have the flexibility and resilience to navigate current market conditions and create long-term shareholder value. With that, Adam, let us move to Q&A.
Adam Kressel: Thanks, Erin. Bailey, can you please open the line for questions?
Operator: We will now begin the question and answer session. Our first question comes from David Silver with Freedom Capital Markets. Please go ahead.
David Silver: Yes. Hi, good morning. Thank you. Good morning. A number of questions. I guess I would like to start with a couple on the nylon, your nylon outlook. And in particular, you did use the term that there have been a string of industry announcements. So I am aware of the one closure in Europe by Fibrant. I am just wondering if you could recap, have there been other capacity closure announcements? And secondly, where would you expect the reduced capacity or operating rate to be most prominent? In other words, what end markets do you anticipate production capacity or production cutbacks to, where would that show up most prominently in your view?
Erin N. Kane: Sure. Yeah. So let us touch on Europe because I think that certainly is the area where, as you mentioned, Fibrant has already reported their intention to shut down. Europe remains structurally long relative to its demand, and utilization has been hovering 50–60% type. And so there is a Fibrant announcement. Domo is also operating in insolvency, and so while not announced, I think there is a watch-out there in the consideration on their long-term prospects. To put it in perspective, if they both were to exit operating in Europe on a caprolactam perspective, utilization would certainly move up into the 80s range, albeit on lower output relative to the full regional capacity, but much more in line from a structured supply-demand fundamental that would, ultimately, support pricing. We think by a couple hundred dollars per metric ton. So that is Europe. In China, there are also reports that they are managing their operating rate, if you will, in the country. And so we have seen their rates come down in the fourth quarter, operating anywhere from the high-60s to mid-70s range, which certainly goes a long way to the global oversupply, if you will. And we actually see that reported in constrained ammonium sulfate coming out of the country as well. So at the end of the day, there are things that are pointing to that direction because, obviously, the monomer caprolactam is the key starting point for the nylon chain. And so when you think about the overall health of the end markets, it is hard to say certainly on a global basis. Building and construction in North America continues to be a challenge here; that impacts fiber and filament into carpet. Globally, automotive would be a contributor to engineering plastics challenges in its demand. And then in the U.S. on packaging, again, just a little bit more challenged. Main applications here in meat and cheese protective packaging, and you still see some inflationary pressures on red meat that are impacting some demand there. So, again, pointing in the right direction. We are always looking for these green shoots, if you will, and I think certainly it appears that perhaps we are at an inflection point for this movement.
David Silver: Okay. Thank you for all that detail. I would also just like to follow that with a question about your outlook on sulfur market dynamics. So just personally, my view is sulfur is probably one of the least predictable large-volume products to kind of get a real handle on supply and demand drivers at any given point. And of course, there has been upward pricing momentum for several quarters now. Just from your perspective, maybe if you could give us a sense of, firstly, is the key driver to the more recent larger lift in pricing? In other words, is it more supply-driven or demand-driven, or are there other factors you would point to? And then secondly, what are your expectations for where sulfur might be by the end of the year? In other words, do your folks see a plateauing or a moderation in the pace of increases here? Or just anyway, your company’s view on the market dynamics for sulfur right now would be very helpful.
Erin N. Kane: Yes. Certainly, Dave, we are sitting at nearly 20-year highs for sulfur prices right now too. So to your point, perhaps they are predictable until they are not predictable, or non-interesting until they become interesting. And a similar type surge has happened twice before, 2008 and 2022, and in both times, prices dropped precipitously in the following sort of six months. And we will note that the first-quarter settlement was delayed, I think, as negotiations were extended in a response to perhaps the bid-ask on a global pricing basis. Relative to supply-demand, I think they both contribute to the current level of pricing. The industry has seen stronger demand in ag and global mining, right? But we have also seen supply constraints in the U.S. Gulf and lower output in other regions that is certainly contributing to the global prices. So that international market, we will watch the spot prices that sustained $500-plus sulfur since Q4 of 2025. But I would note at these levels, certainly, we do not participate in this space, noticing that there is mentioning now of phosphate demand destruction in the industry, which would also, again, in just the supply-demand consideration, contribute to the expectation that we would see sulfur, I believe, come off across 2026. But as you know, it is hard to predict the exact timing there.
David Silver: And maybe just to briefly, but leaving the pricing dynamic aside, are you confident that you will have available supply? In other words, your overall operations do rely to a certain large extent on a continuous supply of sulfur. Again, leaving aside the cost, do you have any concerns about the availability of product in the amounts and on a timely basis that you require?
Erin N. Kane: No. We contract with a number of suppliers to make sure that we have ample access, and so at this point, we do not have any concern in that regard.
David Silver: Okay. Great. I wanted to swing over to the Section 45Q carbon credits please. So two questions, I will ask them both here. But firstly, could you talk about the size and the timing of the Section 45Q credits that you expect to be recognized or claimed in 2026? And then secondly, about a week ago, the federal government did issue a ruling, and a little too complicated for me to repeat, but basically their new policy is that CO2 is no longer considered a pollutant. And in light of that, I am kind of wondering whether you see any impact from that ruling on your ability to claim and ultimately receive Section 45Q credits, in the amount, I guess, of $100,000,000 to $120,000,000 through 2029 or so. Is that still your view? Is there any impact on the magnitude or the timing of your plans to participate in carbon credits available to you?
Christopher Gramm: Yes. Thanks for the question, Dave. I would say, obviously, we keep an important eye on what is happening in the 45Q credits arena because they are collectively worth $100,000,000-plus to us over the next several years. So let me take your two questions sequentially here. On the endangerment finding, does that have an impact on the 45Q? I think the simple answer there is no. What is probably helpful is to think about it in two frameworks. One is the EPA framework and the other is the tax law framework. The endangerment finding from an EPA perspective defines what types of air emissions are subject to the EPA’s oversight, and the endangerment finding here would have an impact on the EPA around air permits and air emissions itself, whereas the 45Q is based in tax law. So in fact these things are generally separate. In fact, 45Q predates the endangerment finding, and 45Q has had strong bipartisan support since its creation. In fact, recently in the One Big Beautiful Bill Act, there is strong support for the 45Q, particularly around utilization, and we saw that, with the credit rate was actually increased and is now on par with permanent sequestration. So the answer there is that we still see the 45Q carbon credits being available to us moving forward, and we do not see a lot of risk with that. In terms of what we think we can expect, just as a reminder, we have to go through a process where we get approval on the life cycle assessments from the Department of Energy, and then once that is approved, we can go ahead and claim the credits. As a reminder, we have already been approved and have claimed the credits for years 2018 through 2020. For 2021 life cycle assessment, we filed that with the Department of Energy in August 2025, and we have been working with them to answer their questions and sort of help them through the application. Upon approval of that credit, those approvals are typically good for a three-year cycle, and we would expect that each of those three years is worth about $6,000,000 or so. And as we sort of continue to work through this process and catch up to sort of the real time, we would expect that we would be able to book those three years, so an $18,000,000 impact for 2026, once again subject to the Department of Energy’s approval of our life cycle. But we are confident in our position and we are working with them on the claim and the approval.
David Silver: That is great. And I am going to be stealing your phrase about endangerment ruling, so I needed to thank you. Just one quick follow-up. But regarding the carbon credits that you claimed in 2025, first half of the year, have those been received by your company to this point? Are they in the Q4 results or anything? Or, sorry, your December 31 balance sheet?
Christopher Gramm: Yes. No. It is a good question. So the record is in the P&L across 2024–2025. We are still, in order to receive the refund, we have to work through the audits, and the audits for those particular years have started. It is obviously subject a bit to the IRS’s resource and workload, but we are working through it with them. Once we get through the audits, obviously, there is a bit of an approval process that has to happen. So we have available resources to support the audit and answer all the questions, but it is a bit of a process that is a little bit out of our control. But I think we have the resources committed to make this process move as expeditiously as possible. We have not received them yet, but I do believe we would expect them this year.
David Silver: Okay. So another factor in figuring out your boosting maybe your free cash flow outlook for 2026? Okay. Maybe one last question. I did take note in the prepared remarks about record ammonia and sulfuric acid production in 2025. And I was kind of scratching my head, given the age and the seasoning of those facilities, it is notable that you are achieving record production at this point. Should we think about the nameplate capacity for ammonia and sulfuric acid, should we think about that being kind of permanently increased either due to debottlenecking or process improvements or things like that? Or would you say the record production rate over the past year was more, I do not know, just due to shorter-term operating performance variables that might be better next year, might be a little worse? But does the record production rate at some of your basic facilities, does that point to kind of a permanent increase in production potential going forward?
Erin N. Kane: And I appreciate the question. The callouts, obviously, are two critical assets that are key to our platform integration. The rates and the performance in these assets have continued to improve over time. We have had a keen focus, and I think this is a demonstrative proof point to how we have put forth our repair maintenance capital investments and our preventative maintenance programs overall that is contributing to uptime and output. We certainly have also had plans to continue an ongoing effort to identify what I would call more incremental debottlenecking areas that are definitely contributing as well to these two key assets in our footprint. I would say our currently disclosed capacities are still great to use as a reference point. We will continue to assess if we need to update those. But I would also say part of our opportunity sets and differentiation is we have the ability to monetize additional profitable volumes off of these assets that do not move down into the caprolactam process. That continues to be a key focus for us as well. So all of that contributed to, certainly in this environment, our core strategic effort is to place molecules into the most profitable areas of opportunity. And the plants did a great job, those teams, to reach these records and, importantly, stopped it in a turnaround year. So great kudos to them.
David Silver: Okay. Great. I will stop there. Thank you very much for all the detail, all the color.
Erin N. Kane: Great. Thanks, David.
Operator: Our next question comes from Pete Oesterlin with Truist Securities. Please go ahead.
Pete Oesterlin: Good morning. Thanks for taking the questions. First, I just wanted to—
Adam Kressel: Good morning. I just wanted to start by following up on the conversation around the input cost pressure you are seeing right now, particularly for natural gas and sulfur. I guess just based on the assumptions you are baking in right now for the first quarter, about how much of an earnings headwind do you expect that pricing versus raw materials will represent in the first quarter versus fourth quarter?
Christopher Gramm: Yeah. So I think we are seeing pretty significant increases, with sulfur almost at $500 a ton and natural gas also going up, kind of that $3.00/Dth range. We are implementing a number of price increases across really the entire portfolio. What we are sensitive to is in, I think, the ammonium sulfate space, there is a bit of probably a gap in terms of the net raw material price impact, probably in the $5 to $6 per ton range. And then similarly in nylon, I think the pricing there is probably stronger correlated with benzene, so we are moving prices up there as well. But we are seeing a bit of margin compression versus natural gas. So overall, we are probably seeing sequentially some margin challenges, probably in the $10,000,000 to $15,000,000 range.
Pete Oesterlin: Okay. Great. Thanks. And then you touched on this, but I guess just given the elevated input cost pressure, is there potential for that to support a higher degree of pricing power than what has historically been typical for ammonium sulfate as you look kind of beyond first quarter later in the year? Or I guess, if you are competing with alternatives that are not under as much pressure, those specific materials, does that limit the pricing power at all?
Erin N. Kane: Yeah. So we go back to the fundamentals on ammonium sulfate. Certainly, we have the nitrogen baseline. So to that extent, the entire nitrogen market is experiencing the increase in natural gas prices, and so that nutrient value, as you probably have seen in other spaces, urea has continued to move up as well, particularly as we head into the season. So that sets the base. And then, obviously, we have to price for the premium of sulfur, and certainly we are seeing industry prices move up mostly in line with sulfur. If you think about our posting and latest pricing, moved up $50 several weeks ago, another $10 more recently. So again, trying to work in lockstep where we can accordingly. Again, the largest sort of fertilizer that takes sulfur is phosphate, and certainly that, as I mentioned before, has some consideration relative to their outlook. But we are trying to take all things into consideration. Lots comes into play as to what pricing power is: future crop prices, farmer profitability, acres planted, ultimately how the weather is going to allow the planting season to take off. But we are doing everything that we do in our playbook relative to positioning material into the chain and getting ready for the season.
Pete Oesterlin: Great. That is very helpful. Just lastly, I wanted to ask about your guidance for your planned turnaround activity this year. Just historically, in years where you are doing maintenance on the ammonia unit, the expense has been meaningfully higher than what you are guiding to for 2026. So just wondering what maintenance activities are you forgoing this year? And when do you expect, or I guess do you expect, you will need to catch up on this in future years?
Erin N. Kane: Yeah. No. No. We recognize that it probably looks different than historically. As we mentioned, we have our natural gas pipeline that comes into the plant requiring some maintenance inspections by our vendors, so we necessarily had to align. Ideally, we would align to the timing of which that takes place. So it allowed us to come back through and risk-prioritize, again focusing on key compliance considerations and the necessary preventative maintenance. And so that is kind of the real drivers here. Overall, we are taking a look in general at our global turnaround strategies and what that really entails. Obviously, we have talked a lot about the importance of the ammonia plant and the sulfuric acid plant, key to our integration. But I think there are potentially some opportunities to look at those in a different light as we go forward. So we will have to come back and share as we go forward. But we are really not forgoing anything that we believe is critical at this time to sustain our operations.
Pete Oesterlin: Great. I will leave it there. Thanks for the color this morning.
Operator: This concludes our question and answer session. I would like to turn the call back over to Erin N. Kane for any closing remarks.
Erin N. Kane: Thank you all again for your time and interest this morning. We are confident in our demonstrated ability to perform through a multitude of environments and are positioning the enterprise to win long term. This is supported by our integrated business model, durable competitive advantage, healthy balance sheet, and continued risk-adjusted investment decisions to drive through-cycle performance. With that, we look forward to speaking with you again next quarter. Stay safe and be well.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.